Operator: Good day ladies and gentlemen and welcome to Terna's First Half 2023 Consolidated Results Presentation. At this time, all participants are in a listen-only mode. Please be advised that today’s conference is being recorded. I would now like to hand the conference over to our host speaker today, Mr. Omar Al Bayaty, Head of Investor Relations and Sustainability. Please go ahead, sir.
Omar Al Bayaty: Thank you. Good afternoon, everyone, and welcome to Terna’s first half 2023 results presentation. The call will be hosted by our CEO, Giuseppina Di Foggia, and our CFO Agostino Scornajenchi. Following the presentation, we will have the Q&A session. We kindly ask [Indiscernible] to send question to investor.relations@terna.it.  Please, Giuse, the floor is yours.
Giuseppina Di Foggia: Thank you, Omar, and good afternoon, everybody. Let me -- the Annual General Meeting appointed the new Board of Directors with the Igor De Biasio as Chairman and myself as the CEO. I am delighted and proud to take up this new challenge. From what I have seen Terna is in excellent shape. Our people have outstanding skills involved, which means we will continue to grow in a sustainable way. Energy transition is a mandatory path to a sustainable future. We intend to further enough Terna’s role in the energy transition, continuing along our strategic roadmap for the development of the electricity system of the future.  Now, before starting to analyze the figures, I'd like to share with you the main achievements of the first part of the year. Regarding regulated activities, let me remind you that last March, we presented the new 10-year national development plan. More than 21 billion euros of investment aimed at continuing the integration of renewable sources and the progressive phase out of coal fired power plants. Terna not foreseen CapEx plan will be crucial to achieve national and European de-carbonization targets. I'm pleased to say we are well on track with investment and results in our plants. What have we achieved regarding the sustainability in the period? Four of the most prestigious international indices that select leading companies in terms of ESG Best Practices have recently confirmed the inclusion of Terna. Our ESG commitment is also reflected in Terna’s refinancing. Last May, Terna signed an ESG linked revolving credit facility for 1.8 billion euros and last week, we successfully launched a fixed rate green bond of 650 million euros. The market reacted positively with demand outstripping supply by almost four times the offered amount. These transactions demonstrate the group's strong commitment to introduce ESG criteria, also as a strategic lever to create value for all its stakeholders. Finally, regarding shareholder remuneration, in June, we paid 20.83 euro cents per share as a 2022 final dividend. So, the total dividends for the year including the interim payments of last November, is equal to 31.44 euro cents per share, in line with our dividend policy.  After this brief introduction, let's now look at the latest trends of electricity demand in Italy, turning to the next slide. As you can see from this chart, in the first six months of 2023 national demand was about 151 terawatt hours, with a decrease of 5.3% on last year, when national demand was 159 terawatt hours. The reduction in electricity demand in the first half of the year is mainly due to the increase in average temperatures in the winter period and the reduction in industrial consumption. In the first six months of 2023, renewable sources cover about 35% of national demand, 3 percentage points higher than the last year. National net total production stood at 126 terawatt hours, about 10% lower than the same period in 2022. Despite that, let me highlight the increase hydro and photovoltaic production, which grew by 18% and 4%, respectively, compared to the first six months of last year. I should add that in the first half of 2023, renewable sources cover about 42% of the national net total production.  Now, let's move to the main figures of the period. In the first six months of 2023, group revenues and EBITDA were up by 12% and 8%, respectively, from last year, which means 155 million euros and 72 million euros higher than the first half of 2022. For the first time in Terna’s history, EBITDA crossed the record threshold of 1 billion euros in the first six months of the year. We also reported a group net income of 411 million euros, the highest amount ever with an increase of 3% from 2022. Group CapEx was 831 million euros recording a double-digit increase of 26% over the same period last year. Let me underline that this is a record-breaking level of CapEx for the first half of the year. This is proof of our ability on execution and confirm once again Terna’s central role in the energy transition process. To support this acceleration, at the end of June 2023, net debt stood at 9.5 billion euros versus about 8.6 billion at the 2022 year end. Thanks to this solid set of results and our focus on execution, we are well on track on delivering our 2022 targets. So I can confirm that we will achieve all the guidance provided.  Now allow me to invite the CFO, Agostino Scornajenchi, to give you a more detailed analysis of the half yearly figures of 2023.
Agostino Scornajenchi: Thank you very much Giuse and let's start with revenues analysis moving to page number eight of the presentation. Total revenues in the first half of 2023 increased by 11.6%, reaching 1485 million, up by 155 million versus last year. The growth was attributable both to regulated and non-regulated activities, which contributed for 110 million and 45 million respectively. Let's now go into the details of the revenues evolution moving to the next slide. Regulated revenues reached 1263 million, 110 million better than last year. The increase was mainly driven by the investments acceleration made on the national grid and the higher output-based incentives effects related to the higher benefits generated for the system. Non-regulated revenues reached 222 million, 25.3% higher than last year. Non-regulated growth was mainly attributable to the increase in revenues coming from Brooke and Kamini and to the higher contribution of the energy solutions mostly related to LT group. International revenues were set to zero in accordance with IFRS 5 accounting standard referred to assets held for sale.  Now, let's go through operating cost analysis at page 10. As you can see in this chart, total operating costs stood at 466 million, 21.4% higher than last year. Regarding regulated activities, the increase was mainly attributable to the in-sourcing of new competencies and increased level of activity, while non-regulated activities have been impacted mainly by higher costs for the purchase of raw materials and services related to Brooke and LT Group. Let me now analyze EBITDA, moving to the next slide. Due to the previously mentioned effects, first half 2022 Terna group EBITDA reached 1019 million, 72 million better than last year. The increase was mainly attributable to regulated activities, which contribute for about 67 million more versus the same period of last year, showing an EBITDA 990 million in the first half of 2023.  Let's now have a look to the lower part of the profit and losses, turning to slide number 12. Depreciation and amortization amounted to 380 million. The increase versus last year was mainly due to the impact of new assets becoming operational in the period. As a consequence, EBIT reached 639 million, 5% higher versus the first half 2022. We reported net financial expenses of 59 million. The increase versus last year was mainly due to the high level of inflation registered in the period due to the increase of the interest rates, partially mitigated by the increase in capitalized financial expenses and financial income on available liquidity. Taxes stood at 169 million, 8 million higher versus last year, essentially due to increased profit and to positive one-off item recorded in first half 2022. As a consequence, our tax rates stood at 29.1%. As a result, group net income reached 411 million, 3.3% higher versus the same period of last year.  Moving to CapEx analysis on page 13. In the first half of 2023 total CapEx amounted to 831 million, 26% higher than last year, confirming the solid acceleration aimed at enabling the energy transition process. Indeed, we invested about 777 million in regulated activities. Among the main project of the period, it's worth mentioning the Tyrrhenian Link, the Paternò-Pantano-Priolo in eastern Sicily, and investment in stabilization devices as synchronous compensators. Among CapEx categories, development CapEx represented 50% of total regulated CapEx, defense CapEx stood at 12% while asset renewal and efficiency was 38%. Non-regulated and other CapEx stood at 54 million. This includes capitalized financial charges and other investments.  Regarding net debt and cash flow analysis shown at page 14, net debt at the end of June 2023 was about 9.5 billion, around 900 million higher than 2022 year-end level and mainly as a consequence of the investment in the period and of the reduction of net rate payable vis-a-vis the 2022 year end. During the period, we generated an operating cash flow of 750 million, which sustained the CapEx acceleration made on national grid. Let's now make a deeper analysis of our debt profile moving to page 15. In line with our cautious and proactive debt management approach, at the end of this first half, we registered the fixed over floating ratio gross debt of about 89% and an average duration of about five years. Moreover, in average, Terna successfully launch a six-year fixed rate single tranche bond issue, for a total amount of 750 million issued with a spread of 70 basis points over the midswap and an annual coupon of 3.6% to 5%. In addition, few days ago, Terna launched a 10-year fixed rate green bond addressed to institutional investor for a total amount of 650 million. The issuance has been very successful in the market and the final spread was 90 basis points over the midswap. The green bond will have a duration of 10 years and will pay a coupon of 3.875%. The net proceeds from the issue will be used to finance the company's eligible green projects defined in compliance with the Terna green bond framework.  Moreover, with the aim of confirming our leadership in the sustainable financial market, let me just recall that, in May, Terna signed an ESG linked revolving credit facility for a total amount of 1.8 billion. This transaction allows Terna to count on a liquidity appropriate to its current rating further strengthening the company's financial structure and demonstrates the group's strong commitment to the introduction of the model which aims to reinforce sustainability as a strategic level for creating value for all its stakeholders.  Thank you very much for your attention. Now, before starting the Q&A session, let me leave the floor to Giuse for her closing remarks. Please Giuse.
Giuseppina Di Foggia: Thank you, Agostino. So having seen this strong set of results for the period, let me conclude the presentation with some closing remarks. First of all, Terna will continue leading the energy transition process by providing the state-of-the-art services and issuing a security of supplies and efficiency for end users. As stated in the presentation, despite the extremely challenging scenario and significant investment required to meet the needs of the system, Terna continue to preserve a solid and sustainable capital structure, as well as maintaining a low risk profile. This is our commitment also for the future.  In addition, Terna will carry on guaranteeing value creation for our stakeholders focusing on the execution of the actions posted by our industrial plan. Sustainability is a fundamental part of our business model. Our strategy will ensure we maintain a high quality standard of service in our system characterized by increasing complexity. Our strategy will also keep us on course to reach national and international de-carbonization targets. Sustainability is not only what we do, but also how we do it. It is part of our way to manage business, from the circular economy to dialogue with the local community from science-based de-carbonization targets to diversity and inclusion initiatives. This is the way we want to assure a common sustainable growth path to all Terna stakeholders.  Now, before moving to the Q&A session, let me say that I'm sure our strong commitment and enthusiasm will guide us towards future growth and allow us to face all future challenges and we are already working on the new plan that we expect to present by the first quarter of 2024. Thank you for your attention. We are now ready for the Q&A session.
Q - Omar Al Bayaty: Thank you, Giuse. Let's start the Q&A session. We receive a strong set of questions. For sake of time, we have grouped of them together. We will begin with a series of questions for the CEO, then we will move on further questions for CFO. So Giuse the first group of questions are related to the CapEx plan. Any expectation of further increase?
Giuseppina Di Foggia: We are well on track with the execution of our CapEx plan and we are committed to maintaining our strategic roadmap towards the energy transition. Indeed, last March, we presented the new national development plan with more than 21 billion euros of investments expected in the next 10 years, so we are focused on execution. Any other consideration about our CapEx plan will be part of the discussion of the new business plan that we foresee to present by the first quarter of 2024.
Omar Al Bayaty: Thank you, Giuse. Regarding dividend policy, are you paying any change?
Giuseppina Di Foggia: Well, our dividend policy is fully sustainable, and is aimed at maintaining the right balance between fair shareholder remuneration and the sustainability of the investment plan. I believe that it guarantees constant and predictable growth as well as full visibility over the plan period. As I mentioned before, any other consideration will be part of the discussion of the new business plan by the first quarter of 2024.
Omar Al Bayaty: Thank you for the comments. About international strategy, we can expect any update?
Giuseppina Di Foggia: The consolidation of LatAm activities will allow Terna to maximize the value of the international portfolio for optimizing the group's risk return profile. At the same time, we will continue to scout for other opportunities. These may also be with the partnership and will be selected ensuring a low risk profile and limited capital absorption leveraging the know-how developed by Terna. 
Omar Al Bayaty: Thank you. We are also receiving some questions about potential interesting new geographies for International Development.
Giuseppina Di Foggia: Well, our focus will be addressed on those markets with the high growth profile and low country the risk and we will take a gradual approach offering and leveraging our know-how in the design and operation of infrastructure.
Omar Al Bayaty: Thank you. We are receiving also question about allowed work [Phonetic] data, if you can give us a comment about that.
Giuseppina Di Foggia: The allowed work will be subjected to an evaluation, an evaluation to verify if the threshold foreseen by the trigger mechanism is met or not. The observation period for the main macroeconomic variables in the formula will close at the end of September. Since the calculation of the parameters and that potential review is still subject to the evaluation of the main variables in the coming months, for the time being we cannot provide you with precise guidance on the expected work final value for 2024. I can only tell you that an update with the allowed return seems likely given the level at which rates are today. It's too early to comment about the 2025 allowed work level.
Omar Al Bayaty: Thank you for comments. We received also some question related to the Totex framework. Any update on that? What's your view?
Giuseppina Di Foggia: We strongly believe that the introduction of Totex would be consistent with the past already undertaking towards an output-based approach. The framework will be focused on targets and benefits for the system with the rewards linked to two outcomes. In the Totex approach, we see an opportunity to create further value for the electricity system and the shareholders. It could promote an even a higher overall efficiency through new output-based regulatory measures, ensuring benefits for the system. We are fully committed to Totex and satisfied about the progress made with the resolutions on output-based incentives.
Omar Al Bayaty: Thank you. Regarding occupation, occupation incentives, do you think that the level of decrease is sustainable?
Giuseppina Di Foggia: The government framework reward Terna for the benefits we are able to guarantee to the system. This is mainly through the reduction of ancillary services market costs and the reduction of bottlenecks among and within market zones. I believe that our collaborative relationship with the regulator will continue with a common objective to enable the energy transition in Italy, always ensuring the security of a supply and efficiency for end users. In this regard, I think that the reliable track record the regulator is always shown in each decision will also be reflected in the design of output-based incentive.
Omar Al Bayaty: Thank you. We received also questions on procurement and authorization. Could you provide details on project execution?
Giuseppina Di Foggia: Yes, once again I underline, our CapEx plan is a solid and safe and our projects are well on track. Regarding procurement, despite the challenging scenario, potential shortages of raw materials do not represent a risk for Terna. So I can say that we are on the right path regarding the authorization process. Construction activities and procurement are in line with the milestone setting updated in the industrial plan.
Omar Al Bayaty: Thank you. About renewable, any update on renewable installation rate in Italy?
Giuseppina Di Foggia: Until 2021, the installation rate was around 1 gigawatt yearly while in 2022 around 3 gigawatts have been installed. This growth in the pace of installations has also been confirmed in the first month of 2023. In fact, since the beginning of the year, about 2.5 gigawatts of a new renewable capacity have been installed. The acceleration is ongoing and we need to see a range of coordinated and integrated actions to stay on track.
Omar Al Bayaty: Yeah. And above that, which are the necessary measures to accelerate renewable development?
Giuseppina Di Foggia: We need to further speed up the installation rate of renewable energy sources to achieve the de-carbonization target foreseen by the Fit for 55 scenario. The time required for a permit needs to be renewed and the profitability should be more visible.
Omar Al Bayaty: Thank you. Some question about storage, are there any news about these developments? Could Terna be involved with?
Giuseppina Di Foggia: Despite its pivotal role in the energy system, storage capacity has not grown significantly in recent years, mainly due to the lack of a proper investment signals from the energy markets. Our plan does not include any investment related to storage projects. Storage should be developed through market auctions and Terna cannot be directly involved. We strongly reiterate the importance of storage development for the electricity system, and we will actively monitor its evolution.
Omar Al Bayaty: Thank you. Giuse, last question for you. There is a question regarding field and growth balance in Terna equity story. What's your view about that?
Giuseppina Di Foggia: We are fully committed to ensuring strong growth for the future enhancing the value creation for our shareholders. The Terna investment proposition is based on a balanced combination of growth and value CapEx and shareholder returns. We think that this is the most appropriate way to applying Terna’s investment case, including a well-balanced opportunity of yielding growth.
Omar Al Bayaty: Thank you, Giuse. So now let's move to the question for the CFO. The first one, how many output-based incentive have you accounted in the first half? And is it confirmed with real contribution?
Agostino Scornajenchi: Yes, thank you, Omar. The output-based incentives that we have recognized in the first half of 2023 are in the region of 130 million or less. They are related to dispatching services and market efficient incentives for 100 million, and other items connected to cost savings and benefits on interzonal incentives connected to the creation of additional transport capacity among the different pricing serving for the remaining value. For the full year 2023, that we say what I already said in the previous presentation, the first quarter. We assume general amount of output-based in the region of 300 million euro, mainly related to the dispatching services for market decisions incentives. For the remaining part of the business plan, at the moment, we expect the incentives contribution to contain in core as with the performance I just described.
Omar Al Bayaty: Thank you Agostino. And what about the net debt evaluation in second half this year and 2024?
Agostino Scornajenchi: Well, as you know, we're not going to provide any specific guidance for year-end 2023 and 2024. Let me say that our net debt will reflect the guidance that we have provided on CapEx and revenue per share and also on the level of working capital that we do expect for the end of 2023. You have to remember that at the end of 2022 we benefited a positive cash flow effect deriving from some working capital fluctuation related to some pass through cash items that remain in our pockets and will be progressively reforming it during the year 2023.
Omar Al Bayaty: Thank you for the comments Agostino. What is the cost of debt in first half of 2023 and, if possible, the full year 2023 expected cost of debt?
Agostino Scornajenchi: As of today, as a consequence of the increase in the interest rates, we are slightly below 2%. You remember that the regional cost of debt that we have communicated at the moment of the business plan presentation was 1.3. This figure will increase of course, and we do expect that at the end of 2023 we should land somewhere around 2.5% reflecting the interest rates increase observed and expected [Indiscernible] the recent decision taken by the authorities on that. And this will remain associated with our growing CapEx plans for the company.
Omar Al Bayaty: Thank you. And we received question about P&L. Could you update us on the funds and the impact on Terna?
Agostino Scornajenchi: Well, let me divide the answer in two parts. The first one is that last December with respect to the ecological transition process, sustainability, resilience of the electric infrastructure, the Italian government approved the financing of nine projects for a total investment value of 160 million that we have proposed to increase the resilience of a portion of our REIT 1500 kilometers. We confirmed that those projects will be completed by the end of June 2026. That is the deadline expected for the TNF. Also -- sorry, let me conclude, there is also an ongoing discussion between Terna and the Italian government for the definition of another subset of projects that could ensure those objective in particular, those projects have the purpose of increasing the transfer capacity across different market zones, guaranteeing digitalization of the system, promoting energy exchanges between different countries and ensuring safety of interconnected energy system. We are working on the set objective and we will communicate it as soon as it will be possible.
Omar Al Bayaty: Thank you. About renewable, could you please give us an update on grid connection requests?
Agostino Scornajenchi: Well, you know, Italy has set an ambitious target for the translation of renewable. The capacity will have to grow at least 65, 70 gigawatts within the framework of the European Union Green Deal in the next year, and this is an extremely important challenge. What we're seeing was a huge increase of green connection request, especially from solar and wind future installation. We can remember that at the end of June, a number of those renewal connection increased by more than 100% compared to the end of 2021. As of today, the total level of connection requested coming from renewables including storage, solar, wind onshore, wind offshore, hydro, biomass, geothermal, was not so far from 400 gigawatts at the end of June 2023.
Omar Al Bayaty: Thank you. Coming back to net debt, when do you expect to complete working capital the absorption?
Agostino Scornajenchi: Well, as I said before, we had some advantage at the end of 2022 from some non-pass through item that remain in our pocket. There was some delay from the Energy Authority in issuing some resolution to give us the possibility to get back some money to the market operators, and this will be reabsorbed in the coming months. More in general, in the half 2023 you have seen a decrease of about 370 million compared to the end of 2022. This result, of course, has a negative impact on our net financial debt but it is quite physiological given that there is a slight reduction in net trade payables that is due to the increase in capital expenditure during the last part of the previous year. You know that the second part of the year we accumulate a lot of investments that need to be paid in the first part of the next year. Similar increase were in the region of 150 million in net receivable resulting from regulated activities that are connected with the incentives mechanism revenues that we have accounted last year this will be paid only after a specific period of liquidation in line with the resolution that introduced such specific incentives starting from the end of 2022. And all their marginal impacts on other net liabilities, primarily due to decreasing guarantee deposit and other minor items.
Omar Al Bayaty: Thank you Agostino. And of operating of the difference, are you taking into consideration to maintain the current rating also in the future?
Agostino Scornajenchi: Well, this is something that was discussed several times. Let me confirm that we strongly believe that the current rating reflects the strength of the group and this financial solidity. Of course, we have a significant capital increase that has been already made and something that we will continue to secure. In this challenging scenario, the company is committed to maintain the strong financial structure during the plan, also taking actions on the debt side as we did in the past when we decide for an average that sustain our ratings and our capital structure. Just a general reminder, you know that according with [Indiscernible] methodology, the rating of Terna is still one notch above the one for the Italian Republic. And in case of change in the rating of the Italian Republic, this will have of course an impact on Terna.
Omar Al Bayaty: Thank you for comments Agostino. About climate [Phonetic], can you share your view on the new climate draft, the impact on Terna on top of the already done on the 10 year development plan?
Agostino Scornajenchi: You know that as required by the European regulation, the Italian government has decided for an update of its national and climate energy plan submitted to the European Commission at the end of June. This update reflects the new European targets, namely the Fit for 55 package that we already discussed and this, of course, will generate an increase of the needs of the system to accelerate in developing renewable and on our side in accelerate regularization of grids. The implications are clear, this update target share 65% of renewable energy and electricity consumption, that is a lot, and this will be mainly achieved by a strong growth of wind and solar capacity that will have to reach more than 100 gigawatts in 2013. The wind capacity will have to increase by 57, that was the actual of December 2021, and the solar capacity was more of 16 gigawatt respectively at the end of 2021.
Omar Al Bayaty: Thank you Agostino. Question about balance sheet structure, do you believe that you have enough balance sheet headroom to maintain this level of investments in the next year to come or do you need to reconsider your balance sheet structure?
Agostino Scornajenchi: Well, let me confirm what I just said. Of course, we have to manage a significant CapEx increase in order to fulfill the increasing needs of the system and to support the energy transition. This of course, will drive to increase of our financial leverage. However, as we already communicated, during the presentation of our business plan, we are still committed to maintain a strong financial structure during the plan, also to actions on the debt side. On this regard, let me remember again, that we issued our first hybrid bond in February 2022 in order to sustain and support our capital structure. We cannot disclose that we will do that again.
Omar Al Bayaty: Thank you Agostino. Coming back to regulation, what will be your next step about the framework?
Agostino Scornajenchi: Well, about OpEx, we are in the middle of our transition period, we do expect that, let me say, a first application of OpEx ROSS methodology in a sort of, let me say, preliminary approach and the long-term approach and final integral approach that will take place in the long term. Today, we are in the middle of the discussion with our regulator, already issued two resolutions, the first one related to the preliminary approach and the second one for the final long-term application. Those details are expected by year end. Today, we cannot say something more. Let me confirm that as usual, we do expect the OpEx application will represent more opportunities than a risk for us. Given that at the moment the authority will provide the premium, will provide a value to our ability to create value for the system, to create value for the final user, we will be more than happy to have participation, a share of those benefits in our profit and losses. So, more challenging, more complicated, but we are sure that it will represent an opportunity for us.
Omar Al Bayaty: Thank you Agostino. And we received also a specific question on [Indiscernible] project included in your 10-year development plans?
Agostino Scornajenchi: Yes, it is. You know that in order to support the increase with the needs of the electricity system of the future connected with the increase of renewable that we have for the coming years as we did with today will also change, as we see a change of approach also from a technological perspective. This is why we have defined the so-called the hybrid grid process, taking account different new drivers. First one is start synergies and explore synergies with existing assets, modernizing the existing 220 kV and 380 KV power lines with limited intervention on existing lines and areas but with different technology in order to increase our transport capacity. There are a lot of areas in the country that are now not used or close to being dismissed and we will like to work on these brownfield sites in order to not create any additional impact on the environment, but let me say keep industries where they are already. Of course, we have to reinforce network security and robustness and also we need to have a modular approach and a different project. So, as communicated to the market last March, the new development plan provides this either with approach with the launch of different and innovative project for a total amount of 11 billion out of the more 20 billion for the total size of the of the plan to achieve the targets of the future with an increase of and the future acceleration of our investments.
Omar Al Bayaty: Thank you Agostino. Last question for you about operating expenses, do you expect some recovery in recent OpEx increase or at least there are a lot of OpEx adjustment in the next regulatory period?
Agostino Scornajenchi: Yeah, during the first half of 2023, we have registered an increase in the labor cost, we have also registered an increase in external costs due to increase [Indiscernible] and also new initiatives, also communication activities as the communication campaign, that was broadcast communication campaign that was concluded two months ago. In the long term, we do expect that all these costs increase will be recovered in the tariffs guaranteed by the regulator.
Omar Al Bayaty: Thank you. There are no more questions.
Giuseppina Di Foggia: Thank you. Thank you very much for your time today and for taking part in this call. It has been a pleasure to meet you.